Operator: Good day and thank you for standing by and welcome to Eastman Kodak Q2 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Anthony Redding. Please go ahead.
Anthony Redding: Thank you and good afternoon, everyone. I am Anthony Redding, Eastman Kodak Company's Chief Compliance Officer. Welcome to Kodak second quarter 2024 earnings call. At 4:15 p.m. this afternoon, Kodak filed its Form 10-Q and issued its release on financial results for the second quarter of 2024. You may access the presentation and webcast for today's call at our Investor Center at investor.kodak.com. During today's call, we will be making certain forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. All forward-looking statements are based upon Kodak's expectations and various assumptions. Future events or results may differ from those anticipated or expressed in the forward-looking statements. Important factors that could cause actual events or results to differ materially from these forward-looking statements include, among others, the risks, uncertainties and other factors described in more detail in Kodak's filings with the U.S. Securities and Exchange Commission from time to time. There may be other factors that may cause Kodak's actual results to differ materially from the forward-looking statements. All forward-looking statements attributable to Kodak or persons acting on its behalf apply only as of the date of this presentation and are expressly qualified in their entirety by the cautionary statements included or referenced in this presentation. Kodak undertakes no obligation to update or revise forward-looking statements to reflect events or circumstances that arise after the date made or to reflect the occurrence of unanticipated events. In addition, the release just issued and the presentation provided contains certain measures that are deemed non-GAAP measures. Reconciliations to the most directly comparable GAAP measures have been provided with the release and within the presentation on our website in our Investor Center at investor.kodak.com. Speakers on today's call are Jim Continenza, Kodak's Executive Chairman and Chief Executive Officer; and David Bullwinkle, Chief Financial Officer and Senior Vice President of Eastman Kodak. We will not be holding a formal Q&A during today's call. As always, the Investor Relations team is available for follow-up. I will now turn the call over to Jim. Thank you.
Jim Continenza: Welcome, everyone and thank you for joining the second quarter 2024 investor call for Eastman Kodak. We continue to be committed to executing our long-term plan. As a result, gross profit percentage continues to increase. We're getting leaner, investing in innovation, launching new products, focusing on smart revenue and aligning with the right customers. I am pleased with Kodak's continuing progress in the second quarter 2024. Gross profit percentage was 22% compared to 21% in the prior year quarter, the seventh consecutive year-over-year increase. This performance reflects growth in AMC and our commitment to improving our operational efficiencies, realizing the value of our offerings. Revenues decreased $28 million or 9% compared to the prior year quarter but decreased only $24 million or 8% excluding foreign exchange. The decrease in revenue was intentional as we continued to invest in our long-term strategy. We are focused on aligning with the right customers with the right products and driving smart revenue at the most efficient way possible. Gross profit decreased $5 million or 8% compared to the prior year quarter, driven by higher cost of materials and other operating expenses. AMC is a very important part of our future. It leverages our unique strength in chemicals, layering and coating. Kodak is currently seeing growth in revenues in key products in this area. We are investing in long-term Advanced Materials & Chemicals opportunities that will set the foundation for our company for growth and profitability in the future. For example, our cGMP facility for manufacturing diagnostic test reagents is expected to begin production in 2025. We're excited about this opportunity for a long time coming and it's nice to see it coming to fruition. We are committed to film and continue to invest in manufacturing capacity to meet growing demand. I was pleased and thrilled to see the movie, Twisters which was shot on Kodak film; and The Bikeriders, two phenomenal films that are extremely entertaining and I want to thank them for choosing Kodak. We also continued to invest across our complete Print portfolio. This year, I was pleased to be at drupa 2024. It's been 8 years since the last one. We were able to showcase the PROSPER ULTRA 520. We did live demos and we were packed. It was standing-room only. I couldn't have been more pleased with how the product performed and the crowd that we had. We were able to leave drupa with commitments for several 520s. We're in the progress of installing one today to one of our European customers. Kodak continues to innovate in traditional print. Some examples I'd like to give you is the enhanced release of our new PRINERGY software, also the SONORA XTRA next-generation plates and several new CTPs. All of them were showcased at drupa. Now, I'll turn it over to Dave to discuss the financial results.
David Bullwinkle: Thanks, Jim and good afternoon. This afternoon, the company filed its Form 10-Q for the quarter ended June 30, 2024, with the SEC. As I always do, I recommend you read this filing in its entirety. Before I get into the details for the quarter and first half of 2024, I would like to comment on a certain disclosure in our Form 10-Q. As disclosed in the liquidity section of our MD&A within the Form 10-Q, actions have been implemented with the U.S. pension plan to reduce investment risk and strengthen the plan's ability to provide benefits to participants. This includes the previously announced outsourcing of the plan's investment management as well as the adoption of a new investment strategy. Please refer to the disclosures within the Form 10-Q for more specifics. In addition, the company's existing S-3, primary shelf registration, is set to expire on August 12, 2024. We have not drawn anything down on this shelf to date. However, in order to maintain the flexibility to access the public markets, the company is filing a shelf registration statement to essentially renew the expiring shelf registration. We are also filing an S-8, registration statement, to register additional common stock authorized to be issued under the company's equity compensation plan by virtue of the amendment of the plan approved at the Annual Shareholders Meeting in May. I will now share details on the full company results, operational EBITDA and cash flow for the second quarter and first half of 2024. During the second quarter, Kodak continued to build on its strong foundation in the face of an extremely difficult global environment, driving smart revenue, pricing rationalization and cost reductions delivering a gross profit percentage of 22% while continuing to invest in long-term growth initiatives and information technology systems. The company's results reflect the continued focus on these priorities and the execution against our long-term strategy. The company's financial results are within our expectations at this point in our long-term strategy. On Slide 7, we reported revenues of $267 million for the second quarter of 2024 compared to $295 million in the prior year quarter for a decline of $28 million or 9%. Adjusting for the unfavorable impact of foreign exchange of $4 million in the current year quarter, revenue declined by $24 million compared to the prior year quarter. Gross profit decreased by $5 million or 8% when compared to the prior year quarter. Foreign exchange had no impact on gross profit in the current year quarter. Our gross profit percentage was 22% in the second quarter of 2024 compared to 21% in the prior year quarter and up 2 percentage points when compared to the first quarter of 2024 which is a result of the actions our team has taken to make our operations more efficient and to realize the value of our product offerings. These actions have established positive momentum as we continue to drive profitable growth going forward. On a U.S. GAAP basis, we reported net income of $26 million for the second quarter of 2024 compared to net income of $35 million in the prior year quarter, a decrease of $9 million. The 2023 second quarter results include expense of $1 million related to changes in the fair value of embedded derivative liabilities and income of $1 million related to noncash changes in workers' compensation and employee benefit reserves. There is no net impact on the second quarter of 2024 results when adjusting for these prior year quarter items. Operational EBITDA for the quarter was $12 million compared to $22 million in the prior year quarter, a decline of $10 million. Excluding the impact of noncash changes in workers' compensation and employee benefit reserves in the prior year quarter, operational EBITDA decreased by $9 million when compared to the prior year quarter. Foreign exchange had no impact on operational EBITDA in the current year quarter. Operational EBITDA for the second quarter of 2024 was unfavorably impacted by higher selling and administrative costs associated with investments in information technology systems and organizational structure to drive further operational efficiencies as well as costs associated with the drupa trade show and certain litigation matters. In addition, lower volumes and higher manufacturing costs associated with the continued ongoing global cost increases have negatively impacted operational EBITDA. Turning to Slide 8. For the first half of 2024, we reported revenues of $516 million compared to $573 million in the prior year period for a decrease of $57 million. Adjusting for the unfavorable impact of foreign exchange of $4 million in the current year period, revenue decreased by $53 million compared to the prior year period. Gross profit decreased by $6 million or 5% when compared to the prior year period. Foreign exchange had no impact on gross profit in the current year period. Our gross profit percentage was 21% for the first half of 2024 compared to 20% in the prior year period. On a U.S. GAAP basis, net income was $58 million for the first half of 2024 compared to net income of $68 million in the prior year period. The 2024 first half results include income of $1 million related to noncash changes in workers' compensation and employee benefit reserves and income of $17 million related to a net gain on the sale of assets. The 2023 first half results include charges of $2 million related to changes in the fair value of the embedded derivative liabilities and income of $9 million related to a refund from a non-U.S. governmental authority. Excluding these current and prior year items, net income for the first half of 2024 was $40 million compared to net income of $61 million in the prior year period, a decline of $21 million. Operational EBITDA for the period was $16 million compared to $31 million in the prior year period, a decline of $15 million. Excluding the impact of noncash changes in workers' compensation and employee benefit reserves in the current year, operational EBITDA decreased by $16 million compared to the prior year period. Foreign exchange had no impact on operational EBITDA in the current year period. Operational EBITDA for 2024 was unfavorably impacted by lower volumes and higher selling and administrative costs associated with investments in information technology systems and organizational structure to drive further operational efficiencies as well as costs associated with the drupa trade show and certain litigation matters. Moving on to the company's cash performance presented on Slide 9. The company ended the second quarter with $251 million in cash and cash equivalents, a decrease of $4 million from December 31, 2023. For the 6 months ending June 30, 2024, cash provided by operating activities was $10 million compared to $21 million in the prior year period. Cash provided by operating activities in the current year period was primarily driven by use of cash from net earnings of $17 million and cash provided from balance sheet changes of $27 million, including a change in working capital of $32 million and a decrease in other liabilities of $22 million. Within working capital, accounts payable decreased by $1 million, inventory increased by $18 million and accounts receivable decreased by $51 million compared to the prior year period. The decrease in accounts receivable is primarily due to $40 million of cash proceeds received in January 2024 from brand licensing. The team continues to focus on improving profitability and performance in working capital which enhances the company's ability to generate cash. Cash used in investing activities was $2 million in the first half of 2024 which is an improvement of $9 million when compared to the prior year period, primarily due to proceeds from the sale of assets of $17 million partially offset by an increase in capital additions of $8 million. Cash used in financing activities for the first half of 2024 increased by $18 million compared to the prior year period, primarily driven by $17 million related to the repayment of the amended and restated term loan agreement made during the first quarter of 2024 from the proceeds received from the sale of assets within investing activities. Restricted cash decreased by $13 million when compared to the balance as of December 31, 2023. As a reminder, restricted cash primarily represents cash collateral supporting the company's undiscounted actuarial workers' compensation obligations with the New York State Workers' Compensation Board and cash collateral required under the letter of credit facility in addition to escrows to secure various ongoing obligations. As presented on the bottom portion of the slide, excluding the effects of foreign exchange and a prior year period impact of a refund from a non-U.S. governmental authority, the company delivered a $2 million improvement in cash and cash equivalents in the first half of 2024 compared to the prior year period. We are pleased with the financial performance of the company for the first half of 2024. We will continue to focus on maintaining the strength of the foundation we have worked hard to create which provides us the opportunity to fund our ongoing operations and invest in growth opportunities to continue to execute our strategy. Finally, we remain in compliance with all applicable financial covenants. I will now turn the discussion back to Jim.
Jim Continenza: Thank you, Dave. Look, I've been honored to do these calls over the last 5 years but I want to make sure we're getting our message across, right? Kodak has invested heavily into our business. You can see that in our efficiencies. You can see it in the increased gross profit percentage year-over-year, right, despite the decrease in revenues. We're focused on our customer, we're focused on operational excellence and we're focused on putting new systems in our company to help drive better profitability and not to lose focus. Advanced Materials & Chemicals is the original Kodak and we're reinvesting back in it. It is our core competency. It's what we are best at, layering and coating. So our AMC business is growing and driving increased revenues and gross profit. That's what we were hoping for when we put our investment in place and we're pleased with the results. And I want to thank the employees in that group and all of our divisions for driving these behaviors and driving this company in the right direction. I want to be very clear; we will continue to put our customers first. That can't change. Everything we do starts with our customer and ends with our customer. We make sure that we're more efficient, easy to do business with and giving them innovative products that help drive their profitability. We only win when our customers win. I want to again thank everyone for their time and listening through these calls and your interest in Kodak; we appreciate it. Good night.
End of Q&A: This concludes today's conference call. Thank you for participating. You may now disconnect.